Operator: Ladies and gentlemen, thank you for standing by, and welcome to Global Payments Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions]. As a reminder, today's conference will be recorded. At this time, I would like to turn the conference over to your host, Senior Vice President, Investor Relations, Nate Rozof. Please go ahead.
Nathan Rozof: Good morning. Welcome to Global Payments Fourth Quarter and Full Year 2025 Conference Call. Joining us today is our CEO, Cameron Bready; CFO, Josh Whipple; and COO, Bob Cortopassi. Some of the comments made during today's conference call will contain forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied and we caution you not to place undue reliance upon them. They speak only as of the date of this call, and we take no obligation to update them. In addition, we will be referring to several non-GAAP financial measures. For a full reconciliation of the non-GAAP financial measures to our most comparable GAAP measure, please see our press release furnished as an exhibit to our Form 8-K filed this morning and the supplemental material available on our Investor Relations website. Finally, I'd like to note that we developed a slide presentation to accompany our prepared remarks, which is also available on our Investor Relations website. and Cameron's comments will begin on Slide 4. With that, I'll turn the call over to our CEO, Cameron Bready. Cameron?
Cameron Bready: Thanks, Nate. Good morning, and thank you for joining us today. As I'm sure you've seen by now, we successfully completed the acquisition of Worldpay in January, alongside the simultaneous divestiture of our Issuer Solutions business, marking an important milestone in the strategic transformation we've been executing over the past 18 months. I want to take a moment to extend my sincere appreciation and best wishes to our Issuer Solutions colleagues and to warmly welcome the talented team members of the Worldpay to the Global Payments family. Their expertise, passion and commitment have strengthened our organization from day 1. Our combination with Worldpay is not about creating a larger version of our 2 companies. It is about creating a better Global Payments, one with the enhanced scale capabilities and the focus necessary to compete and win as the worldwide partner of choice for commerce solutions. And we have greater conviction today than ever that this transaction will allow us to do just that. We have a lot to cover today, so let me briefly outline the agenda. I will begin with Global Payments standalone results for the fourth quarter and full year. Next, I will introduce the new Global Payments and highlight the key strategic initiatives we are focused on executing in 2026. I will then turn the call over to Josh to share more detail on our financial performance and outlook. We are very pleased with how we ended the year, delivering exactly as expected and fully aligned with the outlook we provided last February. For the fourth quarter, we reported 6% constant currency adjusted net revenue growth, excluding dispositions, 80 basis points of adjusted operating margin expansion and 12% adjusted EPS growth. Our Merchant Solutions business maintained strong momentum with adjusted net revenue growth accelerating to slightly above 6%. For the full year, we executed on all of our key objectives. We accelerated adjusted net revenue growth from 5% in the first half to 6% in the second expanded adjusted operating margins by 100 basis points, well ahead of our expectation of 50-plus basis points and delivered 11% adjusted EPS growth at the high end of our expectations. Importantly, we generated strong free cash flow in 2025 with over 100% adjusted free cash flow conversion. This provides us with the flexibility to return $1 billion to shareholders in 2025, while simultaneously reducing leverage in preparation for the closing of the Worldpay transaction. In addition, our portfolio divestitures have enabled us to return an incremental $1.2 billion to shareholders. Robust free cash flow generation and returning capital to shareholders remains central pillars of our investment thesis. With our major transactions now closed, we are resuming our share repurchase programs as we execute on our $7.5 billion capital return target for 2025 to 2027. At current valuation levels, we see buybacks as a highly compelling opportunity to drive shareholder value, given the clear dislocation between our share price and the fundamental performance and outlook for the business. To that end, our Board of Directors recently approved a $2.5 billion share repurchase authorization, and we are entering into an accelerated share repurchase agreement to immediately repurchase $550 million of our shares. We expect to return capital through a combination of open market purchases and accelerated share repurchases in addition to maintaining our stable dividend. Beyond our financial results, we also made substantial progress on our transformation program this year. We successfully transitioned from a holding company structure to a unified operating model globally, eliminating silos, increasing accountability and improving organizational performance, speed and efficiency. As part of this program, we continue to modernize and simplify our global technology stack, improving reliability, accelerating innovation cycles and enhancing ease of use and the overall experience for our merchants, partners and team members. Further, we are investing in the adoption of our new AI-enabled development tools and enhanced product operating model, allowing for increased productivity and quicker speed to market for new functionality. 2025 also marked the successful rollout of Genius, which is performing exceptionally well and remains in the early innings of what we see as a meaningful long-term growth opportunity. Finally, we continue to invest in our sales transformation. We have deployed a new technology platform with embedded AI capabilities to better manage lead flow and improve our performance. And we've already onboarded 200 of the 500 new sales professionals we announced on our third quarter call. As we enter 2026, we are well positioned to be the world's leading pure-play commerce solutions provider, and our North Star remains consistent, driving sustainable growth in M&A from an unrelented focus on our clients, leveraging our strategic advantages. Our advantage starts with our worldwide omnichannel reach, serving over 6 million merchant locations across online, in-store and in-app experiences in more than 175 countries. This breadth provides meaningful diversification and exposure to the full Global Payments TAM that is unmatched by any single competitor. Our advantage also extends from our go-to-market approach. We compete on product differentiation, service, reliability and fit to customer need, supported by a direct sales force of more than 5,500 professionals worldwide including approximately 1,500 experienced sellers from Worldpay. Alongside our direct channel, we operate a vibrant partner ecosystem with more than 1,700 financial institutions and thousands of software and platform partners, complemented by a robust dealer network that in solves Genius and supports customers end to end. For merchants preferring self-service, we offer that as well for streamlined install reporting upgrades and enhancements, all without human interaction. And with approximately $4 trillion in annual payments volume, our scale enables us to serve the largest global enterprises to small merchants alike and everything in between and to be highly price competitive, where we choose while still leading on capability and service. While these embedded advantages are significant, we are not standing still. We plan to invest approximately $1 billion annually in commerce technology to help our customers grow, expanding omnichannel offerings, advancing our AI-enabled product road map and accelerating innovation across Genius and our platforms. With our newly combined profile, we have taken the opportunity to evaluate the fundamental elements of our identity. Our aspiration is clear, to be the worldwide partner of choice for commerce solutions. And the value proposition that is reflected in our vision comes down to 2 simple things: igniting business growth in enriching lives around the world. We are not just a company that provides payments and software solutions. We are a company built to fuel the growth of businesses of all sizes with innovative payment and commerce solutions. And when we enable seamless, frictionless payments and delightful experiences we enrich people's lives through commerce. That brings us to our mission, which is to make every day commerce better. When our clients think about Global Payments, we want that statement to define who we are and the value we deliver. We will bring our aspiration vision and mission to life by leveraging our competitive advantages across 4 strategic pillars. First, our pure-play focus. Being exclusively focused on commerce solutions allows us to move faster, allocate resources with greater precision and amplify the impact of every dollar we invest to ensure that we have the best products and solutions in the markets in which we choose to compete. While some competitors are spread across a broad set of competing priorities, we are narrowing our focus, enabling us to execute more quickly and more effectively for our clients and partners. Second, our truly client-centric approach. This is a meaningful point of differentiation. Many competitors organize around their product lines, be it point-of-sale systems, payment gateways, embedded finance platforms, et cetera. Each team optimizes for their feature set. Then the client has to stitch together to make it work for their business. We organize around client segments. Our teams understand the full end-to-end requirements of large enterprises, SMBs and software platforms. And we build solutions that actually align with how they run their businesses. We provide dedicated relationship managers who architect the right combination of capabilities. We do not just simply sell what is on the shelf. This is a fundamental structural advantage, and we have the scale to deliver across every client segment we serve. Third, our enhanced capabilities and continued investment in innovation. From best-in-class enterprise payment tools to the feature-rich Genius platform, the breadth and depth of our capabilities are unmatched, and we will continue to invest to drive innovation and differentiation. Fourth, our global reach with local expertise. Our extensive geographic footprint enables us to help clients expand into new markets and unlock new sources of growth. And because we pair that reach with deep local knowledge, understanding domestic payment methods, customs and regulations we are uniquely equipped to help them succeed in every market they enter. These 4 pillars, pure-play focus, client centricity, innovation and global reach work together to multiply what's possible for our clients and partners. In 2026, we are focused on 4 initiatives to drive near- and long-term success for Global Payments, seamlessly integrating Worldpay, accelerating our go-to-market strategy and activities rapidly expanding Genius and boldly leveraging AI to create new revenue streams and drive productivity across the business. Beginning with Worldpay integration, our synergy initiatives are already well underway, and we remain confident in our ability to achieve $200 million in annualized revenue and $600 million in expense synergies over the next 3 years. Thanks to more than 8 months of preclosing preparation, we are already off to a great start with integration execution. Worldpay's U.S. direct sales force is already enabled to sell Genius. They have boarded their first cohort of new clients and the pipeline continues to build. This quick success demonstrates that Genius has a very short sales cycle and time to go live that is measured in days, not weeks. We are also progressing our next key priority to integrate Worldpay's e-commerce capabilities into our SMB offerings, an important driver of revenue synergies, and we're already having early success in the U.K. where we were able to quickly bring Worldpay's SMB e-com offerings to Global Payments sales channels. As we advance our integration program, we are taking a best of both approach across our teams, products and technologies. Further, we have made substantial progress with establishing our new leadership structure, having announced our new executive leadership team and all the senior leaders reporting to them. Consistent with our goal to unite is one global team. Our leadership team is now roughly evenly split between heritage Global Payments and Worldpay executives. And we are currently executing a comprehensive organizational design effort across the rest of the company, identifying top talent, eliminating duplication and maximizing efficiency as we bring the organizations together. Turning to our go-to-market strategy. We have organized our combined business around 3 channels: enterprise, integrated and platforms and SMB. Ultimately, these channels will enhance our value proposition and align with our unified client-focused operating model. Gabriel de Montessus, leads enterprise, which serves merchants with over $50 million in annual payments volume online and in-store. Gabriel joins us from Worldpay, where he's led this business for the past 5 years. Within Enterprise, we are uniquely positioned to continue winning share because of the breadth and depth of our capabilities. And with the combination, we can now unlock growth in markets where Global Payments has operated historically, but lacked the full suite of enterprise-grade solutions necessary to serve more sophisticated global clients. In addition to delivering highly reliable and scalable payment acceptance in this channel, we help our clients to generate incremental revenue by continuously bringing new innovative products to market that enhance authorization rates and avoid abandoned shopping carts. Recent innovations include our new 3DS Flex solution, which utilizes AI to achieve best-in-class authentication rates compared to peers, including over 7% higher authentication success rates in key markets like the U.K. and our revenue boost solution delivered more than $2 billion in measured approval rate uplift for merchants in 2025, igniting their growth. We simultaneously help our clients to save money by leveraging our scale, investments in data. For example, our Disputes Defender product uses AI to automate charge-back responses utilizing more than 500 data points. It protected over 40,000 merchants last year, increasing chargeback win rates by an average of 15%. Our dynamic routing solution also consistently delivered savings. In 2025, we optimized nearly 8 billion debit transactions, saving our customers over $200 million, an increase of more than 10% year-over-year. The strength of our competitive position led to several noticeable successes in 2025, including new wins with Domino's Canada and TaxSlayer. Key new e-commerce wins include Pfizer, global sports streaming network DAZN, European rideshare app, Bolt and a notable omnichannel cross-sell with Polish Airlines. The team also executed multiyear renewals with over 50 of our largest clients in 2025, representing over $1 trillion in annual payments volume, including numerous leading enterprises. Turning to integrated and platforms. Matt Downs leads this business serving ISVs, PayFac, platforms and marketplaces across more than 100 verticals. And Matt also joins us from Worldpay, where he led the Platforms business. Matt is a veteran of integrated payments businesses with deep knowledge and experience in the sector, including leadership roles in SaaS businesses. In this channel, we are uniquely positioned to support partners across the full operating model spectrum from traditional ISV referral and managed PayFac as a Service to full PayFac in every configuration in between. The combined business gives us purpose-built flexibility to match how each software platform partner wants to monetize payments and control the experience, whether they need low code referral simplicity, a curated a la carte stack or end-to-end PayFac capabilities. Critically, we can tail our operating models for the most sophisticated platforms and still deliver them at scale with attractive margins, leveraging our unified APIs, onboarding risk and managed services to keep partners agile as they grow. We've seen this come to life through recent wins with leading software providers, including ABC Fitness, LightSpeed and Vital Edge as well as recent multiyear renewal with one of our largest PayFac clients. And by combining with Worldpay, we will be able to further accelerate our global expansion of this channel. Lastly, our global SMB channel supports businesses with less than $50 million in annual payment volume and is led by David Rumph, a 14-year veteran of Global Payments. Our SMB business may stand to benefit most from our combination with Worldpay. Together, the breadth and depth of our distribution positions us very well competitively. We have the unique ability to sell new products and commerce solutions through direct and partner channels and markets around the world and we can cross-sell and upsell our innovative capabilities across our base of 6 million merchant locations. We also bring enterprise-grade capabilities to SMBs, such as our machine learning-based payments optimization tools, and integrating Worldpay's e-commerce capabilities will create a more powerful omnichannel solution. Our SMB team is executing with urgency, expanding distribution, rapidly enhancing Genius and making adoptions simpler and faster for customers. Turning to Genius. We continue to see substantial growth opportunities for this platform, and it remains a central pillar of our strategy. We have strong conviction in the product, and we'll continue to enhance its feature set to make it even better. In November, we hosted our first Genius users conference at Truist Park, a great stage to showcase the pace of innovation and hear directly from our clients. One highlight of the conference was the introduction of Genius Drive-thru, our multilane solution that pairs a seamless order flow with our patented camera vision system, so each vehicle is automatically matched to the right order. The outcome is simple, faster lines, fewer errors, happier guests. We also announced Uber Eats as our preferred delivery partner in the U.S. and Canada. Restaurants can self onboard in minutes, and orders updates and cancellations sync instantly between Uber Eats and Genius, reducing workload at the counter and allowing clients to unlock incremental demand faster. As we continue to invest in Genius, we are widening where Genius can win. We launched Genius for services and extended support into higher education and age-related verticals. Further, we expanded distribution to our wholesale channel, successfully piloted Genius in Germany and introduced mobile payment capabilities for on-the-go businesses in the U.K. And we unveiled the industry's first modular point-of-sale hardware that combines a contemporary aesthetic, which functionalities that most systems cannot match. By modular, we mean that each of the components is interchangeable, allowing our customers to configure the point of sale to meet their specific use case. The screen, stand, CPU and connection hub can be easily swapped out, which future-proofs the solution by allowing clients to upgrade individual components without needing to replace any of the rest of the device. Earlier, I described our vision to ignite business growth in enrich lives around the world. In Genius is doing exactly that for 7 Brew drive-through coffee, which is one of the fastest-growing coffee chains in the U.S. 7 Brew chose Genius to preserve what makes their brand special, personal, high energy service, while streamlining order flow and back of house operations. We implemented Genius at more than 500 locations in just 65 days, and they have kept growing at roughly 10 new rooftops a week, which underscores Genius' scalability. We also added Braum's Ice Cream with 320 locations in Love's Travel Stops. Further, SeaWorld deployed nearly 100 Genius kiosks across 5 theme parks and Diamond Baseball Holdings brought Genius into an additional 6 of its minor league stadium. Even with all this progress, we are not slowing down. We recently launched a comprehensive marketing campaign across 4 key U.S. markets, TV, radio, digital signage and more, to put Genius in front of more prospects more often. And for 2026, we plan to continue investing in feature functionality to meet the needs of several professional services verticals that will further expand distribution through Worldpay's channels including their 50 largest referral banks and more than 6,300 branches. Internationally, we will scale in Germany and expand into Ireland and the Czech Republic and we will roll out our new mobile form factor, including tap to pay on phone into additional markets worldwide. Finally, our fourth important initiative for 2026 is expanding our investment in AI and agentic commerce. AI is rapidly advancing and has become a foundational initiative permeating all aspects of our organization to both strengthen our top line and accelerate our efforts on cost efficiency. We are leveraging AI across 3 strategic paradigms, agentic commerce, AI embedded within our products to improve client outcomes and AI-enabled productivity and operational efficiency. First and foremost, agentic commerce is the next evolution of the retail experience, where AI can research, select and even complete transactions on behalf of consumers. With our leading scale and sophisticated e-commerce capabilities, we are differentiated by our ability to act as a universal connector across genic platforms and protocols for merchants of any size anywhere in the world, operating in any vertical. To position Global Payments at the center of the shift, we've been a founding member of every major protocol announced, including Google's Universal Commerce protocol and OpenAI agentic commerce protocol. In fact, we've just completed our implementation of the latter, so our merchants can accept payments originating from ChatGPT as well as Google's AI chat interfaces. We also launched our own model context protocol or MCP in November, which makes it easier for AI agents to initiate in query payments in automated operational workflows. Our stand-alone acquirer-agnostic token vault and credential management systems are world-class and a crucial capability for an agent world where tokens underpin secure handling of credentials between agents, merchants and other entities. We were also in partnership discussions with several leading ecosystem players to support our merchants with additional value-added services that become increasingly relevant in the world of AI-led commerce, including product lead optimization, know your agent functionality, agentic fraud prevention and disputes management and many others. As for embedding AI into our products and capabilities, we are already seeing results in our business. Across our global e-commerce business, we are using deep transaction insights and intelligent routing to help merchants capture more revenue with less friction. Our AI-powered authentication optimization service goes far beyond legacy rules-based systems by dynamically choosing the path with the highest probability of issuer approval or regulatory compliance. In 2025, it delivered a 4-point uplift in approval rates for pilot merchants by deciding when to invoke or bypass 3D Secure based on issuer behavior and risk signals. This is a great example of how our scale and data convert declines into approvals, reduce friction and protect revenue that otherwise would be lost at checkout. Within Genius, we are leveraging AI to solve real problems for small businesses. For example, we can automatically gather customer reviews from multiple social platforms and use generative AI to drive personalized on-brand responses on behalf of our merchants. And we are launching a natural language agent assistant within Genius that will provide insights to business owners. And lastly, we continue to embrace AI to drive productivity and operational efficiency throughout our business. Our engineering teams have adopted AI-assisted coding tools, which accelerates requirements gathering and development cycles by nearly 20%, while also improving code quality. Productivity and output quality have continued to increase as adoption has scaled. And as we integrate Worldpay, AI will play a central role in automating repeatable processes, driving greater efficiency and helping us capture the expense synergies we have outlined. By embedding AI into core operational workflows, everything for merchant onboarding and risk reviews to service ticket routing, settlement reconciliation and partner support we can dramatically reduce manual effort in cycle times, allowing teams to focus on higher-value work, improve accuracy and consistency across shared processes and enabling us to scale the combined organization far more efficiently. Likewise, we are leveraging AI to further accelerate our technology consolidation efforts across the combined enterprise. Enhanced data-driven visibility into our application and infrastructure landscape will help us rationalize platforms reduce redundancy, expedite migrations and facilitate the retirement of duplicative systems. These initiatives will allow us to continue to simplify our technology stack, improve capital efficiency and enable us to concentrate investment on the scalable future-ready platforms, strengthening our operational agility. Lastly, our scale gives us a distinct advantage as we deploy AI. Every year, we process trillions of dollars in payments volume and billions in individual transactions across geographies, channels and verticals. This breadth and diversity of data creates uniquely rich training environments for our AI models. Because we see such a wide cross-section of global commerce in real time, our models learn faster, generalize better and detect patterns and ways unique to our scale. That allows us to improve authorization rates, reduce fraud, enhance risk scoring and deliver more personalized insights for our customers. Importantly, we also do this with strict adherence to privacy, security and regulatory requirements. In short, the scale of our data does not make our AI better. It drives better results for our customers. With a clear focus on these 4 key initiatives, we are well positioned to deliver on our targeted outcomes and advance our priorities for 2026. Specifically, we expect to achieve the following this year. First, we will firmly establish the new Global Payments. We're building on work already in motion to fully leverage our new business profile, bringing together capability, systems and brands while executing disciplined integration plans to support future growth. To further accelerate this progress, we are advancing our technology and innovation strategy, including aligning orchestration capabilities to continue to deliver a modern experience and single integration point for clients as well as exposing the full breadth of our capabilities globally. Secondly, we will unite as one global team. Bringing together the full strength of our team members, talent and payments expertise is essential. When we operate as one team, we move faster and make better decisions and unlock the full potential of our combined organization. Third, we will deliver exceptional value and experiences for our clients and partners. This includes client-focused product innovation, expanding Genius across high-growth verticals and geographies, broadening our omnichannel capabilities globally and scaling our marketplace solution. We want Global Payments to be synonymous with exceptional value and experience. That is a key priority for 2026. Finally, these initiatives will drive sustainable growth and long-term value creation. We are a proven compounder. We grow through all phases of the economic cycle. In 2026, our priority is squarely on building durable top line performance by building strong sales momentum, expanding distribution for innovative commerce solutions and beginning to execute on our revenue synergy opportunities across every clients' segment. With that, I'll turn it over to Josh.
Joshua Whipple: Thanks, Cameron. We're pleased with our financial performance in the fourth quarter and for the full year, which were consistent with our expectations. I'm particularly proud that we delivered these results while meaningfully progressing our transformation agenda, preparing the separation of our Issuer Solutions business and navigating a complex regulatory approval process and conducting extensive planning for the integration of Worldpay. As a reminder, the following figures reflect the last quarter of results for stand-alone Global Payments, which includes Issuer Solutions, and excludes Worldpay for the full quarter. Starting with the full year 2025, we delivered adjusted net revenue of $9.32 billion, an increase of 6% from the prior year on a constant currency basis, excluding dispositions. Adjusted operating margin for the full year improved 100 basis points to 44.2% or 80 basis points, excluding dispositions. The net result was adjusted earnings per share of $12.22, an increase of 12% compared to the full year 2024 or 11% on a constant currency basis. The top line accelerated in the second half as we expected. And in the fourth quarter, we delivered adjusted net revenue of $2.32 billion, an increase of 6% from the prior year period on a constant currency basis excluding dispositions. Adjusted operating margin for the fourth quarter increased 80 basis points to 44.7%. The net result was adjusted earnings per share of $3.18 and an increase of 12% compared to the prior year period or 11% on a constant currency basis. Our Merchant Solutions segment achieved adjusted net revenue of $1.78 billion for the fourth quarter reflecting growth of slightly over 6% on a constant currency basis, excluding dispositions, consistent with our expectation for modest acceleration from the third to the fourth quarter. We saw continued momentum across our POS and software business, which achieved high single-digit growth again in the fourth quarter, excluding dispositions. Genius continues to resonate in the market and its rapid adoption has been accelerated by our realigned go-to-market efforts. New POS locations in the fourth quarter were 25% higher than new locations in the prior year period and our enterprise restaurant rooftop count at year-end was more than 50% higher than the number at the end of 2024. Genius' payments attach rate in the enterprise segment nearly doubled in the fourth quarter, enhancing customer lifetime value and demonstrating the tangible financial benefits of our sales force transformation emphasizing cross-selling efforts. And in the retail vertical, new Genius rooftop boarded in Q4 were 40% higher than in the prior year period. Our Integrated Embedded business also grew in the high single digits in the fourth quarter and continues to win share. We continue to launch partnerships across the more than 100 verticals that we serve, including SiteView and Vision Care and Lawn Buddy in field services, among many others. At the end of the fourth quarter, our pipeline of signed partners yet to go live was 19% larger than it was at the end of 2024, which will support and drive revenue growth well into 2026 and 2027 as those partners are fully integrated and the relationships ramp up. Core payments showed continued strength and delivered mid-single-digit growth in the fourth quarter, benefiting from our unrivaled distribution channels around the world. In the U.S., new sales in the fourth quarter were 35% higher than in the prior year period, representing our strongest quarter in several years as we benefited from the onboarding of our new sales professionals and the enhanced effectiveness of our transformed go-to-market organization. Internationally, revenue in Central Europe grew in the mid-teens, and our business in Greece had one of the strongest quarters on record as we continue to benefit from strong secular trends in these markets. For the fourth quarter, Merchant Solutions delivered an adjusted operating margin of 49.2%, an increase of 120 basis points compared to the prior year period. This performance reflects the ongoing realization of benefits from our transformation as we continue to streamline our organization and see higher returns from our investments in our sales force. Turning to cash flow. We produced strong adjusted free cash flow for the fourth quarter of $891 million, resulting in a conversion rate of adjusted net income to adjusted free cash flow of over 100% for the full year 2025. We invested $168 million in capital expenditures during the fourth quarter and $618 million for the full year 2025, equating to roughly 7% of revenue as we continue to enhance our leading technology, products and infrastructure. This was slightly lower than our initial 2025 target as we intentionally moderated our CapEx spending while we were planning the Worldpay integration. Finally, for the full year, we repurchased 13.2 million shares for approximately $1.2 billion which represents more than 5% of our shares outstanding and includes repurchases using the proceeds from the sale of our payroll business. Our balance sheet remains very healthy. In the fourth quarter, we ended the quarter at 2.9x leverage. Shortly after the end of the fourth quarter, we closed the Worldpay and Issuer Solutions transactions. Our debt at the close of the transaction was approximately $22.3 billion, which includes the $6.2 billion of senior notes that were issued in November and incremental short-term borrowings. Post closing, more than 95% of our outstanding debt was fixed rate, and our weighted average cost of debt was approximately 3.95%. We're also pleased to report that our investment-grade credit ratings were affirmed by all 3 rating agencies in connection with the transactions. Following the close of the transactions, we continue to have ample liquidity with approximately $5 billion available in total across excess cash and capacity under our upsized revolving credit facility. Today, we're pleased to share our 2026 outlook for the new Global Payments, which represents our expected performance following the close of the sale of Issuer Solutions and the acquisition of Worldpay. We provided quarterly historical supplemental combined financial information in the appendix to aid your modeling. These present all prior periods for adjusted net revenue and operating income to include Worldpay and exclude Issuer Solutions. We've also incorporated the conforming adjustments by period to align historical results of Worldpay with Global Payments accounting policies. Consequently, our outlook for 2026 adjusted net revenue and adjusted operating margin is presented on a combined basis as if we owned Worldpay for the entire year. For 2026, we expect constant currency adjusted net revenue growth of approximately 5%, excluding dispositions. This outlook assumes a continuation of the trends we saw exiting Q4, namely resilient consumer spending growth and a generally stable macroeconomic backdrop. Our full year outlook further assumes that constant currency adjusted net revenue grew slightly below 5% in the first half of the year. We see opportunity for modest sequential acceleration over the course of the year, and we expect to exit the year with constant currency adjusted net revenue growth above 5%. Further, we anticipate reported adjusted net revenue will benefit from foreign currency exchange rates by a little less than 50 basis points for the full year 2026, which will primarily impact the first quarter. We expect adjusted operating margin expansion of approximately 150 basis points for the full year 2026, which includes realized cost synergies in 2026 as we begin executing on our integration initiatives. Moving to nonoperating items. We currently expect net interest expense to be approximately $850 million this year, and our adjusted effective tax rate to be approximately 15.5%, which reflects certain cash tax benefits from our acquisition of Worldpay. We also expect our capital expenditures to be approximately $1 billion in 2026, representing approximately 8% of adjusted net revenue, which is consistent with our prior outlook. And we anticipate a conversion rate of adjusted net income to adjusted free cash flow of greater than 90% in 2026. Regarding capital allocation, we expect to return more than $2 billion of our capital to our shareholders this year through share repurchases and dividends which includes the $550 million accelerated share repurchase plan Cameron mentioned earlier. Putting it all together, we expect adjusted earnings per share of $13.80 to $14 in 2026, which represents growth of approximately 13% to 15% over Global Payments 2025 earnings per share of $12.22 and we expect adjusted earnings per share growth to accelerate modestly in the second half of the year relative to the first half as we continue to see greater benefits from the integration and our ongoing transformation activities. Finally, we believe our 2026 outlook demonstrates the attractive financial profile of the combined company and provides us with ample free cash flow this year and beyond to further the capital allocation priorities that we've articulated over the past 18 months. As we look to deploy capital, we remain committed to maintaining our investment-grade credit ratings and plan to delever back to our 3x net leverage target by the end of 2027. Additionally, we will continue to invest for growth maintaining capital expenditures in the range of 7% to 8% of revenue, all of which will be focused on driving innovation as a pure-play merchant services business. And importantly, we'll harness the power of our free cash flow to return capital to our shareholders. This will include our current steady dividend and significant share buybacks targeting $7.5 billion over the 2025 to 2027 time period. In summary, we are pleased with the progress we've made in advancing our transformation agenda, completing 2 transformative transactions ahead of schedule and commencing the integration of Worldpay. We're proud of delivering Q4 and 2025 results that were in line with our expectations and we believe the business is very favorably positioned to execute our 2026 objectives and continue our ongoing return of capital to shareholders. And with that, I'll turn the call back over to Cameron.
Cameron Bready: Thanks, Josh. I could not be more proud of our team's execution this year and excited for what we can accomplish going forward as we combine with Worldpay. The Worldpay acquisition represents a pivotal moment in our evolution. And as we integrate our businesses, our focus remains on driving consistent durable growth through an unwavering commitment to our clients and the strengths that are distinctive to Global Payments. Our new pure-play orientation allows us to move faster, deploy resources more effectively and serve clients in a truly client-centric way. And we will differentiate through feature-rich products, white glove service and support experiences that consistently exceed expectations. With unmatched payments experience in deep fluency across nearly every vertical and client type, we are uniquely positioned to deliver tailored technology solutions, not one size fits all approaches. And now with our expanded geographic footprint, we have an unparalleled global reach. We can ignite growth for our customers and partners by helping them expand into new markets around the world, supported by local expertise and deep relationships, from best-in-class enterprise payment tools to feature-rich platforms like Genius, Global Payments is at the forefront of modern commerce technology. And with $1 billion in annual investment, we are one of the few companies in the industry capable of innovating at this scale, anticipating our customer needs and delivering solutions before they even ask. Finally, we remain laser-focused on delivering shareholder value and maintaining a disciplined capital return framework. We are a proven compounded with substantial free cash flow generation. Based on our current share price, our capital return plans enable us to repurchase the equivalent of roughly 30% of our market cap over this year and next. Operator, would you please open the line for questions.
Operator: Our first question comes from Dave Koning at Baird.
David Koning: Great job. I guess, first of all, 5%-ish organic constant currency growth, that's great to hear. What's the split maybe between enterprise and SMB and then between Worldpay and Global? Or are all parts of the business growing about mid-single digits?
Cameron Bready: Thanks for the comment. I'll ask Josh maybe to kind of walk through the guide and then give you a little more color on the expectation for 2026.
Joshua Whipple: Yes. So thanks, Dave. It's Josh. Look, as I said in my prepared remarks, our guide for the full year is at that 5% constant currency ex disposition. And our merchant business, we exited the year a little bit over 6% organically. And Worldpay exited the year approximately 4%, which kind of gets you to the 5% for the full year. As it relates to kind of the first half versus second half, we've adjusted -- we've closed the transaction. We felt that it was prudent to guide the first half to modestly below 5% as we kind of line and bring those businesses together. And as we move through the year, we expect to see modest acceleration on the top line with top line growth in the back half of the year over 5%, and this is largely driven from the increasing benefits from our sales expansion as well as improving our sales effectiveness from the transformation and then the continued ramp of Genius. As it relates to the overall splits, as you think about the pro forma splits of the business, SMB is approximately 50% of the revenue composition and then as you think about platforms and enterprise and e-commerce, that represents the other 50% of the pro forma and they're probably equally split. So that's about 25% for each of those 2 businesses.
Cameron Bready: And Dave, it's Cameron. Maybe I'll just add a couple of comments, if you don't mind. I think first and foremost, I think the outlook that we gave for the combination of the 2 businesses back in April remains our outlook over the medium term. in terms of where we see revenue growth for the business. I think as we thought about 2026, with the businesses coming together very early in the year, we wanted to take a fairly prudent approach to the outlook for 2026. So these are 2 large businesses. We're very focused, particularly in the first half of the year to make sure that we get off on the right foot together. We're focused on our integration activities and particularly around realigning our go-to-market channels, as I described in my comments around enterprise platform and integrated and SMB. And from our vantage point, we think this is the right approach to take for the guide for 2026. So I think it's worth noting that we closed the business about 6 months earlier than we originally anticipated. And obviously, that factors into I think, our outlook as well. But we're exiting the year, as Josh highlighted, above 5%. I think that gives us good momentum to kind of accelerate growth heading into 2027. And obviously, I think that puts us on track to get to kind of the medium-term outlook that we had for the combined business that we shared when we originally announced the transaction.
Operator: Our next question will come from Darrin Peller at Wolfe.
Darrin Peller: A nice job and congrats on closing the deal early. Could we touch on the, a, the trajectory of the synergies you're expecting as the year progresses? And then maybe a little bit more color on what you're incorporating into the guide around synergies again, just to remind us where you stand on that. And then I guess just -- I'll put it all together as one question. Just really understanding the cross-sell into the SMB business at Worldpay, utilizing what you're seeing with the success of Genius. I know that's been a business that has some real potential and so I'm curious to see what you're seeing given the -- it's been a couple of months since you closed and working towards the close for some time.
Joshua Whipple: Darrin, it's Josh. I'll take the first part of the question on cost synergies. So as we discuss probably, we expect to realize $600 million in cost synergies over the course of the next 3 years as we integrate these 2 businesses. And look, in year 1, we expect to realize or 2026, we expect to realize $70 million to $80 million of cost synergies. And look, we spent a lot of time planning, obviously, over the last 6 months as we approach the closing date. We feel very, very good about that number. We have very, very detailed plans in place, and we've already started executing on that. So we expect to see kind of that $70 million to $80 million in cost synergies in 2026.
Cameron Bready: Yes. And Darrin, it's Cameron. I'll take the second part of the question. Look, I think we have a lot of optimism around what we can do as a combined company, particularly in the SMB channel, as I mentioned in my prepared remarks, particularly around the ability to cross-sell our capabilities into the existing Worldpay base and also leveraging the Worldpay distribution platforms to get better penetration and saturation of our solutions into the market. As I noted, we've already enabled Worldpay to sell Genius through their channels, their direct channels here in the U.S. market, and they've already sold a number of solutions into the marketplace and have a nice growing pipeline of opportunities as well. We're also going to introduce Genius into Worldpay's FI platforms here in the U.S., as well as our wholesale channels as we look to expand the distribution through which we push Genius moving forward in time. So I see lots of opportunities to leverage kind of the existing Worldpay distribution channels. here in the U.S. market to bring more of our products, Genius and our other commerce enablement solutions to the market, as I said before, to get better adoption of those capabilities more broadly. And then, of course, in the U.K., where Worldpay has a large presence today. We also plan to bring Genius to the U.K. distribution platforms for Worldpay in the SMB channel and obviously look to cross-sell Genius into the existing sort of back book of customer base that exists with the Worldpay business in the U.K. as well. So the combination of our 2 SMB businesses gives us much better and diversification of distribution, more channels by which to bring Genius to market. And obviously, an embedded back book of customers a significantly large probably 5-plus million merchant base of customers. that have the potential to cross-sell commerce-enabled solutions and Genius into as we move forward.
Operator: Our next question comes from Dan Dolev at Mizuho.
Dan Dolev: Well, great results here. Congrats. I love seeing the stock going up, well deserved. Cameron, question for you. The stock is clearly very undervalued in our view, and you're firing in all cylinders, you're buying back a lot of stock, like very good. Maybe can you discuss what are the puts and takes of staying public here versus alternatives? Because I think the message to the market is that there's going to be a lot of really good things down the road, staying public. So maybe some views here would be great.
Cameron Bready: Yes. First of all, Dan, thanks for the comments. And obviously, we agree with your conclusion as it relates to the valuation I think, look, first and foremost, we're focused on integrating Worldpay and unlocking the promise that we see in the combination, which we think obviously is immense. And we're also very focused on executing against our capital return plans. That said, as we continue to do that, we continue to assess all options to maximize value for shareholders. We think that's our responsibility and it's something that we take very, very seriously. What I would tell you is, look, if we get to a point after a period of time of integrating the businesses, producing results, returning capital, if the public markets continue to not fairly value the business, I think we owe it to ourselves to look at all alternatives and evaluate all alternatives. And what I would say around that is there's an enormous amount of private capital that's obviously on the sidelines, and then you're seeing bigger and bigger deals getting done. So it feels like a more feasible option now than it ever has been. But I think in the short term, we're focusing on delivering on the commitments we've made, executing well on the integration, and we'll continue our capital return plans, and we'll see where we are as time progresses.
Operator: Our next question comes from Ramsey El-Assal at Cantor Fitzgerald.
Ramsey El-Assal: I had a question about the expansion of your sales force and your plans to hire another 300 sales heads this year. What parts of the business will these sales additions be stacked against? Is it mostly SMB and Genius? Is it Worldpay offerings, cross-selling? I guess, where are you going to deploy these folks to make the biggest difference?
Robert Cortopassi: Ramsey, it's Bob. Thanks for the question. Most of the expansion of the sales force heretofore has been focused on North America and specifically our sales of the combined Genius payments and value-added service offerings. I think that's the segment of the market that we still see opportunity to add incremental sales resources, particularly as you go up market from the very smallest of SMB into the upper end of SMB and beginning into the mid-market space. We continue to see that largely is driven by relationship sales activities. There's certainly merchants who are interested in self-service options, and we provide a full spectrum of digital sales and customer acquisition channels and tool sets to serve them. But the more complex sales do, in our view, require a the engagement of a relationship, consultative sort of sale. And so we're going to continue to stack resources against that as we see opportunities to expand and accelerate Genius adoption.
Operator: Our next question comes from Adam Frisch at Evercore.
Adam Frisch: On Genius, our check suggests that the SMB space is obviously still very competitive, but none of the major players are pricing irrationally in the market that would threaten current business models. My question is, would you agree with that? And then a quick tangential question. There's been some speculation around Toast renewing with you. Our checks pointed to a competitive deal, but you would retain them if you're able to provide any update on that, that would be great.
Cameron Bready: Yes. Maybe I'll start. Thanks for the question, and I'll ask Bob to add a little bit more color as well. I'd say, look, from our vantage point, the market -- the competitive market around point of sale does remain very competitive. Obviously, there's a number of strong players in the space. We believe that we are one of them, and we are building momentum around everything that we're doing with Genius, and we feel very good about where we are I think, in the progress that we have made. I think as we look across the things that we're doing, we're growing well in the areas that we've already launched our capabilities. And I think that's evidenced by the commentary that Josh provided in his prepared remarks this morning in his script, we're also expanding into new markets and new geographies, new subverticals, new form factors, and as well new distribution channels, as I commented on earlier, all of that gives us, I think, enormous confidence we're going to continue to build momentum around Genius and continue to see very positive results and gain more share with Genius in the marketplace. I would say as it relates to the pricing environment, it remains fairly rational to your point. I don't think we're seeing a lot of irrational behavior from a pricing standpoint. It is very competitive. I think one of the things that we feel very good about is given the enormous scale that we bring to the business, particularly from a payment standpoint, we can be as price as competitive as anybody. But our goal remains to be with our distribution diversity the capabilities and feature richness of our solutions and obviously, the distinctive service experience that we think we can deliver to customers. As it relates to the second part of your question before I turn it over to Bob, maybe to provide a little more color around the POS market. We have renewed with Toast on a multiyear deal. So that is done, and we're proud to continue to support them from a payments perspective going forward.
Robert Cortopassi: Yes. Adam, I think Cameron well covered the competitive environment. It still is a very competitive marketplace. We continue to feel very strong about our opportunities to win there. And I think we are demonstrating that with the share gains that we're executing on sequentially quarter-over-quarter since the Genius launch last year. The one data point I might offer around this is that particularly in our POS sales team, the signed annual revenue per deal is up nearly 50% on a year-over-year basis. So I think that speaks not only to sort of the constructive pricing environment that continues to represent value as we go to market, but also the value of the combined solution that we're driving today with Genius attaching sales, attaching value added services and delivering that to merchants of compelling value size and opportunity for the business.
Cameron Bready: And if I could add maybe one more anecdotal data point. As we talk about sort of 200 sales reps that we've hired recently as we're building towards the 500 million, a number of them are actually point-of-sale sellers that have come from competitors in the marketplace. So I think that's a good sort of data point as it relates to their confidence in the product and capability that we're bringing to market and their ability to be effective sellers inside of our environment, given the tools that we've provided. Obviously, the lead flow that we're able to bring to them and, of course, the product and capability we're bringing to market. So we're proud that we've been able to do that and feel good about, again, how the product is positioned as a competitive matter going forward.
Operator: Our next question will come from Tien-Tsin Huang at JPMorgan.
Tien-Tsin Huang: Thanks for going over so much stuff here. It's great to consume. Just thinking about the revenue growth algorithm, maybe in a little bit more detail. Would you encourage us to focus on performance across the enterprise, integrated and the SMB channel? Is that the best place for us to study the business? And any big picture thoughts on growth contribution from, say, units, volume, net sales, pricing, that kind of thing or even Worldpay versus Global Payments. I know it's a lot to cover there. But just trying to get a better sense of the growth algorithm.
Cameron Bready: Yes. Look, Tien-Tsin, it's a great question. I appreciate you asking some of this, we're going to be able to dig into a little bit deeper as we get to Q1. We get the channels completely realigned. We only closed a month ago, and we're obviously working through getting all the channels kind of aligned on a historical basis and a go-forward basis, et cetera. So we'll be able to give you a little more visibility around the business. We prepare for the Q1 call, particularly across the enterprise integrated platform and SMB channels. So more to come on that front. I would just say around the growth algorithm more broadly. Obviously, given the significant investments we've been making in commercial activities. Obviously, we expect that to be the primary driver of growth for the business going forward. We'll always continue to make sure that we're optimizing price and yield in our portfolio given the level of value in service and capability that we bring to the market. But we think we've done a pretty good job over the course of time of optimizing our pricing in the business. So our goal is really to lean more into the commercial capabilities of the business, given all of the investments that we've made through transformation, obviously, the increased capabilities that we have through the Worldpay acquisition to such that commercial activities and new revenue growth generated from our go-to-market activities will be the primary driver of growth in the business, coupled with the core same-store sales and just organic growth in the customer base that we have. So that's a good way to think to think about the growth algorithm more broadly kind of across the business. And as I said before, we'll give you a little more color around the individual channels as we get to the first quarter and leading up to our Q1 call.
Operator: Our next question will come from Andrew Schmidt at KeyBanc.
Andrew Schmidt: Cameron, Josh, Bob. Great to see the state results here. Congrats I want to just ask about the Worldpay growth expertise for this year into next. Maybe just talk about the sort of e-commerce SMB integrated payments breakout. So where the largest opportunities are there. It sounds like there might be a little bit of step up into next year to get to that sort of intermediate term growth rate. Obviously, a lot of opportunities with these organizations coming together, but a finer point there on the subsegments. And I understand this will be consolidated at some point. But any detail there, that would be helpful.
Cameron Bready: I'll try to give you a little bit of color and as I said before, I think we'll be able to give more detail around the individual channels as we get to the first quarter. As we -- at the Worldpay business more broadly, we talked about sort of their normalized growth in 2025, which was essentially on top of what we underwrote as part of the transaction. So we feel good about the trajectory of growth in the business. As we talked about before, they're on their own sort of transformation journey, accelerating growth across the business, and we're continuing to see good progress within the world-based and stand-alone business. And now as we bring our 2 companies together, our goal is to continue that trajectory for the combined business to get to the medium-term outlook that I shared earlier, which remains our medium-term outlook for the business. Look at the -- in the Worldpay business, their enterprise e-comm capabilities are best-in-class and they're highly competitive, and we're seeing very attractive growth rates there in terms of both volume and revenue. They're more legacy, card-present, enterprise business. That's more of a GDP grower. So you blend those 2 together. And you have a healthy growing business. It's a good mix of very strong e-com growth and slightly lower kind of enterprise, more card-present oriented growth. The platform business, again, is a bit of a tale of two stories. The Payrix and managed PayFac solutions is growing very, very nicely. Obviously, as we've talked about in the past, Worldpay has a book of integrated referral partners that probably hasn't been nourished as well over time. So the overall channel is growing kind of around the average rate for the combined business that we've outlined for 2026, but it's a little bit of a tale of two stories in terms of the composition of that portfolio. And I think SMB is the area where Worldpay perhaps was more challenged kind of as it exited FIS. Obviously, the combination with Global Payments brings better product capability to those distribution channels. I think Worldpay has really good distribution in the SMB space. They just need better product in solutioning to serve SMB customers. And I think, obviously, Global Payments brings that in spades which gives us a lot of confidence as we put their SMB business together with ours, we're going to be able to drive attractive growth rates for that combined channel going forward as a combined company. So gives you a little bit of color as to how we think about the different elements of the Worldpay business, as we said before, their growth in 2025 was on top of what we underwrote as part of the deal. And we're continuing to see good activity and obviously, signs that they're on the right track in terms of continuing to accelerate as we move forward in time. And our goal, as I said before, is to build on that as we bring our 2 companies together here this year.
Operator: Our next question will come from Dominic Ball at Redburn.
Dominic Ball: Super interesting data point on the platform business there with Toast. Moving to the back book in Genius, you're being quite clear over the last sort of 9 to 12 months, you wish to sort of migrate merchants on to Genius from the back book. Initially, this was sought to be led from merchants or more merchant led. There's been a few instances we've seen here and there like mobile bites, where it seems to be more of a proactive migration. So can you clarify sort of the philosophy around from book versus back book migration how proactive do you intend to be? And then kind of a time line on this as well?
Robert Cortopassi: Dominic, it's Bob. I think our strategy around it hasn't fundamentally changed. What you might be seeing are some differences in market dynamics amongst some of the legacy portfolio. So our focus is still on front book opportunities primarily and serving the back book migrations as and when clients are ready to make that move. We've instantiated no sort of formal deprecation program or wind-down strategy for the legacy platforms that are forcing people to make a choice to move. So what both our direct sellers as well as our dealer network are doing are responding to the demands of those clients. In some cases, people known about Genius for many months now. We've been talking about its launch since early last year. Momentum has been building and excitement has been building around the platform. And so we do have pent-up demand in the back book and both our direct sellers as well as our dealer network, as I mentioned, are serving those as and when they're ready to migrate. The great news, as we mentioned is that while Genius is an entirely new platform, it's built on top of technologies that we've been developing over the past 3 to 5 years or so. So it provides for a fairly streamlined conversion and upgrade experience for those clients looking to upgrade both software and hardware services to the newer Genius stack. So just to sum it all up, we're responding to our customers. We're there and ready when they're ready, but we're not putting again to anybody's head to force a migration. And we're still very excited about the front book opportunities that we continue to convert at a pretty steady and accelerating clip.
Cameron Bready: Yes. And I would only add to that, and I think that's exactly my view as well. The only thing I would share is as we think about the back book, if a client wants to make a move or is looking to make a move more broadly, our goal is to make that as seamless and easy as possible. So if a client is willing to go through the process of making a change, it should be easier to move to Genius than any other third-party solution in the marketplace. And certainly, our goal is to make it as easy as possible creating as little disruption for that client as possible. So recognizing that someone making a decision to upgrade platforms are going to have to make some change. Our goal is to be able to minimize change and obviously, continue to build on the goodwill we have with that client and make it easy for them to move to Genius. So that's really our focus versus to Bob's point, a forced migration that puts clients in a position of having to make a change in some cases against their will.
Operator: Our next question will come from James (Sic) [ Jeff ] Cantwell at Seaport.
Jeffrey Cantwell: The one I have for you is about Genius. The question is, what does Genius offer right now in terms of value-added services? Does that have an app store for merchants yet? Some of your competitors, particularly in the SMB space have had success with that. Can you maybe talk to us about whether that is part of the thinking now and going forward?
Robert Cortopassi: James (Sic) [ Jeff ], it's Bob. I'm going to address the question, but could you restate -- you broke up a little bit what functionality are you asking about specifically?
Jeffrey Cantwell: Sure. Just maybe just go through what Genius offers right now in terms of value-added services and also if there's any plans for an app store for merchants, particularly with regards to SMBs.
Robert Cortopassi: Got it. App Store. Thanks for clarifying. So in terms of value-added services, what I would say is that there's a suite of value-added services that comprise 2 big categories. One is things that are available to everyone who's using Genius or maybe more specifically or useful to everyone who's using Genius and those are things around tools like embedded finance, client loyalty, social reputation management, scheduling and bookings engine, those sort of things. Then there are specific value-added services or feature functionality that's specific to a vertical. So when we think about something like spa salon, where you've got scheduling and client communications and those sort of things built into the workflow or when you think about an enterprise restaurant where you might be looking at a drive-thru management and digital menu boards in kiosks and things of that nature or you look at a field services business where you've got mobile invoicing and text to pay links and a mobile operating form factor and a distribution management scheduling of service providers or deliveries or whatever the case might be. So there's a pretty broad stack of feature functionality by vertical and value-added services that span all of it. Specific to an app store, look, I think our approach to that is one of making available easily, the ability to integrate incremental value-added services and feature functionality to the core Genius platform. And that same ease of integrating is used and consumed by our own developers but also available to third parties to plug in other value-added services. The idea of trying to reinvent an app store and create and open marketplace of a variety of quality of solutions, a variety of quality of integrations and a variety of quality of support for those plug-ins or apps. Frankly, I haven't seen that work very well in the market today and providers who've taken that approach end up with a graveyard of hundreds of failed solutions that are poorly integrated and poorly supported. So we're much more interested in curating a holistic, high-quality experience, whether those value-added services come directly from Global Payments or in partnership with a third party.
Operator: Our final question of today will come from Jason Kupferberg at Wells Fargo.
Jason Kupferberg: Guys, I had 2 questions. I'll ask them upfront. First, just on the free cash flow. Are we reiterating the outyear targets? I think we had been talking about $4 billion in '27, $5 billion in '28, at least on an adjusted basis. So if we can cover that as well as what those numbers might look like on a GAAP basis, and then just any specific areas of conservatism you might point to in the initial top line outlook for '26?
Joshua Whipple: Yes, Jason, it's Josh. Let me take the free cash flow question. So yes, we expect '27 to be over $4 billion in levered free cash flow and the $5 billion marker that you mentioned in 2028 from adjusted free cash flow perspective. And look, what I'd say from a GAAP perspective, as we move through the integration, and we expect our onetime cost to come down so that our GAAP free cash flow will go up. So again, that's something that we're very, very focused on across the transformation and the integration. So you should expect those onetime costs to come down and get free cash flow to go up.
Cameron Bready: And Jason, it's Cameron. Maybe on the second part of your question. I would just reiterate maybe some of the comments I shared earlier, which is, look, as the businesses are coming together for the first time here early in 2026, I think we've taken a fairly prudent approach to the outlook for the year. As I said, we're very focused on making sure that we get started on the right foot with the 2 businesses. We are realigning go-to-market activities based on client channel versus product, which is how we were oriented previously at Global and we just want to make sure that, obviously, as we're doing that, that we're able to focus on integration when we're getting the businesses and aligning go-to-market activities in the right way, so we get ourselves off on the right foot. Our outlook over the medium term, I think, remains the same. And as Josh highlighted, we expect to be exiting the year at a rate above 5%, which I think sets us up well heading into '27 and '28 as we talked about earlier.
Operator: This concludes today's Q&A back to management for any final remarks.
Cameron Bready: Thank you very much for joining us this morning. We apologize for going a little bit long, but we had a lot of content that we wanted to share. We appreciate your support in Global Payments and look forward to speaking with you very, very soon. Have a good day, everyone.